Operator: Good day, everyone, and welcome to the Gold Resource Corporation Q4 and Year-end 2015 Conference Call. Today's conference is being recorded. 
 At this time, I would like to turn the conference over to Mr. Jason Reid, President and Chief Executive Officer. Please go ahead, sir. 
Jason Reid: Thank you. Good morning, everyone, and thank you for joining Gold Resource Corporation's 2015 Fourth Quarter and Year-end Conference Call. I expect my comments to run approximately 25 to 30 minutes, followed by a Q&A session. Joining me on the call today for the Q&A portion will be Mr. John Labate, our Chief Financial Officer.
 Let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our annual report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments.
 Forward-looking statements in the earnings release that we issued yesterday, along with the comments on this call, are made only as of today, March 9, 2016, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures referred to in our remarks in our Form 10-K filed with the SEC for the year ended December 31, 2015.
 2015 saw the third consecutive year of declining precious metal prices, which weighed heavily on the industry. Precious metal equities were arguably one of the most unloved in the 2015 investment world. Although the year proved to be another difficult and challenging one for both precious metals and precious metal producers, I am proud that Gold Resource Corporation not only overcame many challenges, but delivered its fifth consecutive year of profitability. This accomplishment during these last several bear market years is uncommon in the industry. As we watched several industry peers declare bankruptcy during 2015's tough and volatile metal market, Gold Resource Corporation posted annual net income of $3.1 million or $0.06 per share. In addition to posting net income during a challenging year, we returned $6.5 million back to our shareholders through dividend distributions. We continued to invest in the company's future growth in Mexico and gained a stronger presence in Nevada. We accomplished this without raising money and without going into debt. 
 Though our company did well given the circumstances and challenges, overall, 2015 was a brutal year for the industry. Metal prices continued to fall out from under us during the year, requiring sometimes drastic actions and modifications to our budget and business plan. These difficult years challenge us and other mining companies to become leaner and more efficient to position ourselves to survive these bear market years so that we can prosper during the next precious metal bull market to come.
 In the first few months of 2016, metal prices have risen dramatically, and if this is any indication, this could be a very good year. We hope that these metal price increases are a sign of better precious metal markets to come.
 Before I walk you through the fourth quarter and year-end narrative, let's break down our production numbers. Fourth quarter production from the Arista Mine totaled 7,684 gold ounces, 573,726 silver ounces, 382 tonnes of copper, 1,103 tonnes of lead and 4,600 tonnes of zinc before payable metal deductions.
 Calculating the gold and silver as precious metal gold equivalent, we produced 15,548 ounces at a realized 73:1 silver-to-gold ratio. We milled an average 1,350 tonnes per day or 113,436 total milled tonnes for the quarter.
 Our total cash cost after base metal byproduct credits per precious metal gold equivalent ounce sold and including royalties totaled $551 per ounce. Our all-in sustaining cash cost per ounce, a non-GAAP measure, for Q4 totaled $891, and our total all-in cost per ounce sold totaled $985. The lower costs were primarily due to lower sustaining capital costs during the quarter.
 During the quarter, we sold 7,430 gold ounces and 542,892 silver ounces, 361 tonnes of copper, 982 tonnes of lead and 3,810 tonnes of zinc. Average Arista Mine grades and recoveries for Q4 included gold grade at 2.36 grams per tonne with an 89% recovery, silver grade at 169 grams per tonne with 93% recovery, copper grade at 0.42% with 80% recovery, lead grade at 1.37% with 71% recovery and a zinc grade at 4.73% with an 86% recovery.
 We generated revenues. Our revenues are net of smelter charges of $21.6 million, generated mine gross profit of $4.9 million and net income -- or a net loss of $2.3 million or a loss of $0.03 per share. Our Q4 average metal prices realized were $1,091 per ounce gold and $14.95 per ounce silver. We distributed $1.6 million in dividends to shareholders or $0.03 per share during the quarter.
 Turning to 2015 year-end numbers. Annual production from the Arista Mine totaled 29,644 gold ounces, 2,506,337 silver ounces, 1,310 tonnes of copper, 4,174 tonnes of lead and 13,900 tonnes of zinc before payable metal deductions. Calculating the gold and silver as a precious metal gold equivalent, we produced 63,963 ounces at a realized 73:1 silver-to-gold ratio. We milled an average of 1,220 tonnes per day or 413,626 total milled tonnes for the year. 
 Our total cash cost after base metal byproduct credits per precious metal gold equivalent ounces sold and including royalties totaled $517 per ounce. Our all-in sustaining cash cost per ounce, a non-GAAP measure, for 2015 totaled $1,013, and our total all-in cost per ounce sold totaled $1,232. During 2015, we've sold 29,424 gold ounces and 2,312,985 silver ounces, 1,238 tonnes of copper, 3,857 tonnes of lead and 11,478 tonnes of zinc.  Average Arista Mine grades and recoveries for 2015 included gold grade at 2.47 grams per tonne with 90% recovery, silver grade at 203 grams per tonne with 93% recovery, copper grade at 0.4% with 80% recovery, lead grade at 1.37% with 74% recovery and a zinc grade of 4.04% with an 83% recovery.
 We generated annual revenues. Our revenues are net of smelter charges of $92.7 million, generated mine gross profit of $30.3 million and a net income of $3.1 million or $0.06 per share. Our annual average metal prices realized were $1,156 per ounce gold and $15.82 per ounce silver. We distributed $6.5 million in dividends to shareholders or $0.12 per share during the year. 
 Cash and cash equivalents at December 31, 2015, totaled $12.8 million, and we had receivables of $321,000. The company remained debt-free in 2015, except for short-term capital equipment leases, of which we paid down $378,000 during the fourth quarter, which added up to $1.5 million paid down for the full year. We have remaining capital equipment lease total of $800,000 as of December 31, 2015. 
 The company paid $1.1 million in income taxes during the fourth quarter and $9.5 million in income taxes for the year. The company estimates approximately $3.8 million in tax refunds, of which it expects to be applied as a credit to the 2016 tax year, lowering the cash tax burden for 2016.
 The company reached its revised 2015 production outlook with 29,644 gold ounces and 2,506,337 silver ounces. The original outlook was set at 31,500 gold ounces and 2,970,000 silver ounces at the beginning of the 2015 year. Decreases in production during the year were due to several challenges including slower-than-expected mine development, challenges during the second quarter with water and CO2 gas management and a legal work stoppage and greater-than-expected mining dilution combined with lower head grades, additional challenges including the continued fall in metal market prices requiring budget revisions and cost-cutting measures. All -- these all culminated into a challenging year on all fronts, to say the least. 2015 was not a fun year to be a miner.
 In 2016, the company is targeting production with ranges of plus or minus 5% of approximately 26,000 ounces of gold and 1.9 million ounces of silver, 1,100 tonnes of copper, 3,200 tonnes of lead and 12,900 tonnes of zinc. The target range was estimated based on the company's current 2016 mine plan, the area of the deposit scheduled to be mined during the upcoming year and the estimated fluctuations in grades. For 2016 and in response to the year-over-year metals market decline in gold and silver prices, we remained focused on mining tonnes based on net smelter return or NSR values per tonne of all the metals, and to maximize cash flow, the company will continue to focus on overall margin from all metals and less specifically on precious metal ounces.  
 Base metal production generally results in lower production cost per tonne and per ounce when used as a credit against precious metal costs. The company targets sufficient precious and base metal production in 2016 to support its current budget plans for capital expenditures, exploration, dividend distribution and taxes while preparing future growth with a focus on increasing gold and silver production when higher sustainable precious metal prices return.
 We would be remiss, after the last few bear market years, to not plan for another challenging year ahead. Having said that, looking forward into 2016, I am optimistic the recent upward turn in precious metals during the first months of 2016 may be indicative of a better year ahead for precious metals and for the industry. As we prepare for the worst and optimistically hope for the best, it is our charge to not only survive 2016 in what could be another difficult year ahead for metals and miners but to do so again at a profit, which is rare for the industry during the damaging bear market of the last several years.
 Turning to our operations. During 2015, we mined primarily from 10 to 12 separate veins on levels ranging from 4 to 20, with the bulk of the production coming from levels 15 to 19. Arista Mine development and water management during the third and fourth quarters of 2015 was greatly improved, which was a welcome contrast compared to the water and gas challenges of the second quarter. The mine's pumping system was expanded to a nominal 2,500 gallons per minute to help manage water at the Arista vein system and in preparation for the expected future water management needs as we develop the Switchback vein system. The new pump station on level 20 is scheduled to be operational April 15, 2016. 
 Capital expenditure development for main access and ramp development increased 30% in 2015 as compared to 2014 to improve our developed reserves at the Arista. In the end of the 2015, the main ramp advanced beyond level 21. In addition, we permitted, constructed and completed Phase 3 of our tailings facility during 2015. Since we have approximately 24 months of tailings capacity after completion of the new Phase 3 tailings facility, we plan to defer construction of Phase 4 until 2017 to conserve cash and limit unneeded capital expenditures during 2016, which is in line with our ongoing cost-cutting measures and tight 2016 budget parameters.
 As mentioned in the last conference call, on my direction, the company underwent a substantial manpower reduction during 2015, as well as one during the prior 2014 year. The reductions were in response to the ongoing bear market and continuous decline in average metal market prices and targeted lower operational costs.
 We continue to operate very thin to keep costs in check. During 2015 and looking forward into 2016, we simply have to accomplish more with less manpower, which is not an easy task. 
 During the year, we continue to deploy capital and develop our access ramp from the Arista Mine's Arista vein system to the Switchback vein system located approximately 500 meters to the northeast. We advanced the drift 450 meters and stopped approximately 50 meters short of the fault and veins at Switchback to set up a drill station to continue to explore and to test for water flows in preparation for Switchback water management. Having fought water like we did in the second quarter, which slowed down our mine development of the Arista vein system, we are sensitive to potential water flows at the new Switchback vein system. Out of an abundance of caution, we brought in SRK Engineering to help us prepare for, monitor and manage potential water flows from the new Switchback drill station. We were fortunate that no appreciable amounts of water were or have been intersected from the new drill station, though we do expect to deal with water inflows at some point in the future as we develop this large new area of the Arista Mine. 
 We continue to develop this new Switchback area of the Arista Mine in 2016 as we are actively advancing a second drift on level 21, approximately 130 meters below the first drift, which was started on level 14, and are targeting the second half of 2016 to begin processing development ore from Switchback. Having said this, out of conservatism, we do not have an allocation of Switchback ore feed in the current 2016 mine plan or production outlook, though, at some point, we do plan to feed development ore extracted from Switchback during the 2016 year. We may revise our mine plan later this year. The exact timing of Switchback ore feed will be dependent on decline and drift advancement, which is subject to rock competency, potential water flow and gas management and mine development rates.
 In addition, we continue to advance our Alta Gracia property toward production and have received our environmental operating permit. We are advancing toward reception of our explosives permit and optimistic we may have it in hand in the second quarter. If and when Alta Gracia comes online with supplemental ore feed in 2016, it should provide additional optionality and flexibility with a multi-mine approach. Similar to the approach we have taken with Switchback, we do not have any allocation of ore feed from Alta Gracia included in our current 2016 production outlook. Alta Gracia gives us potential upside production exposure.
 Turning to exploration. Our exploration drill budget for 2015 totaled $7.2 million. Approximately $4.9 million was spent at the El Aguila project focused on the Arista deposit as well as on various other targets on the El Aguila project like Salina Blanca. $783,000 were allocated to the Arista Mine/Switchback vein system, $263,000 was allocated to the Alta Gracia property, $1.25 million was allocated to Las Margaritas and $830,000 was allocated to the company's Nevada Radar project.
 Our 2015 drill programs were successful on several fronts, including adding back all the tonnes extracted at the Arista Mine, holding its mine life at 3-plus years, and I will go into more detail later regarding our updated reserve report. We have found additional veins at the Arista vein system like the Viridiana  vein, and we expanded the Switchback vein system with additional high-grade intercepts in numerous veins. Underground drilling during the year focused on the Arista and Switchback vein systems at the Arista Mine with intercepts including 15.22 meters of 3.18 grams per tonne gold, 292 grams per tonne silver, 0.87% copper, 1.5% zinc -- or lead and 4.2% zinc. 
 This exciting intercept and others like at Switchback were not included in the updated reserve report in the proven and probable category, but we do expect to convert it in the future once we have additional drill holes with closer spacing and have crosscut the veins for development. Again, I will go over the updated report in more detail in a moment. The point here is it will be great to start mining this high-grade mineralization hopefully in the near future and most likely before we have converted it into a P&P number.
 On December 1, 2015, we announced we acquired an option to purchase the gold-bearing Gold Mesa property in Mineral County, Nevada, U.S.A. The property has potential for a high-grade gold open pit or multiple gold open pits with high-grade mineralization for an open pit beginning at shallow depths below surface. Intercepts from the previous operator include 2.42 grams per tonne gold over 9.1 meters starting at just 7.6 meters downhole; 1.72 grams per tonne gold over 18.3 meters starting at 36.6 meters downhole; and 2.34 grams per tonne gold over 6.1 meters starting at 3 meters downhole. These are excellent near-surface high-grades for a potential open pit heap leach [ph] situation, and we plan to explore the property and drill its potential as soon as we have necessary permits in place and a drill contractor on site. 
 We are actively working with the BLM to secure their required permits, and the best estimate of timing at this point is during the first half of 2016 for commencement of an initial drill program. We had hoped to begin drilling sooner but were not able to utilize and piggyback on past permits and have started the permit process from the beginning.
 Due to ongoing cost-cutting measures in the volatile metal space, our 2016 exploration budget has been reduced to approximately $2.9 million, a substantial decrease from 2015. Though this represents a decrease from last year, we believe this budget, which will focus primarily on the Arista Mine and its Arista and Switchback vein systems for deposit expansion and our new Gold Mesa property for a potential open pit discovery, will not hamstring the core focus of our exploration efforts. The decreased budget will put on hold many exciting targets on our various exploration properties until substantially higher metal prices take hold, warranting an increase in our drill budget.
 We recently updated our proven and probable reserves as of December 31, 2015, in which we replaced the tonnes mined during 2015, along with a small increase in reserve tonnage, giving the Arista Mine an estimated mine life in excess of 3 years dependent on mill throughput volumes. The company reported reserves of over 127,700 ounces of gold and over 8.5 million ounces of silver at year-end 2015, representing a decrease in gold ounces of 2% and a decrease in silver ounces of 36% compared to the year-end 2014. The decrease from the prior year was primarily due to lower estimated silver grades and lower gold and silver prices used in calculations resulting in metal price reduction of 12% and 21% to gold and silver, respectively.
 Proven and probable reserve tonnes increased at year-end 2015 to over 1.6 million, an increase of 7% over the prior year. In addition to and separate from the Arista vein system's proven and probable reserves, approximately 820,000 tonnes of measured and indicated mineralized material was reported from 2 separate mineralized zones. The Switchback vein system, located 500 meters northeast of the Arista vein system, reported mineralized material of over 630,000 tonnes grading 1.62 grams per tonne gold, 106 grams per tonne silver, 0.4% copper, 1.5% lead and 4.7% zinc. This represents a 29% increase in mineralized material with increased grades in all metals compared to the prior year as a function of more drilling and data points. This is a trend we optimistically expect will continue with further drilling. 
 We want to physically crosscut and touch these veins before we begin to categorize Switchback mineralization -- mineralized material into proven and probable reserves. With our aforementioned development plans in Switchback in 2016 and our plan to continue to drill Switchback throughout the year and crosscut the veins with development, our goal is to evaluate Switchback's status in time for next year's reserve update. I believe this has the potential to be quite positive for the company's 2017 reserve report dependent on how much mineralized material we can convert into the P&P category. The recently updated reserve report will be available on the company's website in the near future. 
 We feel very fortunate to have acquired an option on the Gold Mesa property during 2015 and are continuing to evaluate additional potential M&A opportunities this volatile metal market is providing. We are looking globally for additional property opportunities, which we limit to mining-friendly jurisdictions, and are optimistic we may find additional opportunities we can capitalize on. We continue to push substantial cost-reduction measures, including the power grid program aimed at lowering our energy costs, which is our second-highest cost after manpower; the new port facility program aimed at lowering our trucking costs. And though both are a challenge, we remain optimistic we will be able to execute on one or both of these programs in 2016 or 2017.
 We have also cut costs on a corporate level, reducing G&A costs in 2015 by over $2 million compared to 2014. We remain focused on tight cost-control measures and lower capital expenditures for 2016 to help conserve cash during this volatile market. Though metal prices have moved higher during the early part of this year, we still want to plan for the worst while hoping for the best so that when a sustainable turnaround is in place for precious metals, we are more profitable than before.
 Though we remain optimistic in the recent gold and silver price rise, we do not have a crystal ball. And given the bear market the last several years, we are preparing the company for another potentially challenging year to come in the precious metal space. That preparation is reflected in our decrease in monthly dividend distributions at the end of last year and our lean 2016 operating budgets, both in response to the last several years of a bear market. As I have said repeatedly for many years now, it is our goal to remain standing after the dust settles on this bear market -- metals market, and we are preparing the company accordingly. With now 5 consecutive profitable years under our belt, we are targeting a sixth, regardless of a bear or bull market ahead.
 We are pleased to report we have remediated our only material weakness regarding our income tax provision, having worked very hard to do so. This is a credit to our CFO, Mr. John Labate, and his team. We're also pleased to report we do not have any property impairments after the difficult 2015 year, which has hit the industry hard in that regard. To wrap up the 2015 fourth quarter and year-end review, I am pleased to report that in the face of what proved to be another very challenging year in the mining industry, Gold Resource Corporation succeeded on numerous fronts. Our success culminated in what is most important, and that is the fact Gold Resource Corporation was profitable with $3.1 million in net income for 2015, a rare achievement for miners the last few years. 
 We deployed capital to our Arista Mine development and made great strides with ongoing development at the mine's Switchback vein system. We overcame operational challenges at our El Aguila project. We adjusted to the continued fall in metal prices throughout the year by cost-cutting measures and modifying our budgets to fit the challenging circumstances. By the fourth quarter, we decreased our total all-in sustaining cash cost per ounce sold to $891. 
 We completed necessary projects, like the tailings dam, using cash flow from operations. We had great success with our exploration programs. We acquired Gold Mesa option in Nevada for diversification and additional exploration upside. We continued to distribute dividends during the brutal bear market of 2015. We remained long-term debt-free, and we did not raise capital. We accomplished all of these things and more in the face of what was one of the most brutal years in the mining industry in a very long time, and we did it as a profitable gold and silver producer. 
 Looking forward, the strong upward movement in precious metals early in 2016 could be the start of another bull market in precious metals and better days ahead for our industry. When a sustained bull market ultimately returns, we look forward to potentially bigger exploration budgets, better production outlooks and increased dividends. As we wait for the sun to shine on this industry again, everyone here at Gold Resource Corporation remains committed to our shareholders, and thank you all for your continued support during these difficult times. 
 With that, I would like to thank everyone for their time today on this conference call. Let's move to the question-and-answer portion of the call. In an effort to efficiently address the Q&A portion of the call without wasting anyone's time and since we do not screen filter or limit who can call in, any distracting or antagonistic calls will be terminated, and I will simply move on to the next productive caller's question.
 Operator, please open up the lines for Q&A and take the first caller's question if there is one. 
Operator: [Operator Instructions] And we'll take our first question from Harvey Volland [ph]. 
Unknown Attendee: I'm looking at your 2016 guidance and comparing it with 2015 production. And I noticed that the guidance is 10% or so lower across the board and 20% lower as far as silver production is concerned. And I'm wondering, is that because of lower grades? Or is it because you actually expect to mine less tonnage? 
Jason Reid: Okay. It's not the tonnage. It is the lower grade, and it has to do with a particular area in the deposit in which we target this year. Grades in the deposit will vary, especially in an epithermal system. Generally speaking, in epithermal systems, your grades over time and at depth will decrease in precious metals and increase in base metals. But on strike, that's not the case, and we're seeing that, for instance, at Switchback, where we're finding a lot of high-grade precious and base metals at a higher elevation. So it is a function of the deposit where we are mining, and we are going -- targeting it deeper. It is also, in some extent, a function of we're having to do less -- or do more with less people. Manpower is my largest cost, and I have to run as lean as possible. And that -- it does make it difficult to execute. We are going to be targeting pushing more tonnes through, though. 
Unknown Attendee: So as a follow-up to that, if I understood you correctly, you said that Switchback and Alta Gracia is -- any production coming from there is not included in your guidance. Is that correct? 
Jason Reid: That is correct. 
Unknown Attendee: So if there is reduction -- but yet you do intend to develop Switchback during 2016. Is that correct? 
Jason Reid: Yes, we do. That is correct. And I fully expect and we target to be having mill feed from Switchback this year. Now we are still developing it. And given, for instance, the challenges of the second quarter and the fight we had with water and gas at that particular time and knowing that we're going into a new area somewhat unknown, we didn't want to put the pressure on ourselves. Given the fact the development is going to be subject to rock competency, water flows, if there's gas, many different variables, we didn't feel that we wanted to put any production numbers into the budget from Switchback or Alta Gracia. Now they both -- first, Alta Gracia has a permitting issue, which is out of our hands. The other one is us mining it. But if we can get them both coming online, that would be an addition to our budgeted numbers. But we're not going to -- at this point, we're taking a more conservative approach, and we're not going to start putting numbers to that. 
Unknown Attendee: Is there any -- let's assume that metal prices stay where they are or increase. And let's say that -- as you get into Switchback and you have more information, do you expect to update guidance? 
Jason Reid: Perhaps. But right now, we're just focused on what's in front of us in the budget. We may revise the budget going forward depending on what we see, but your reference to the metal price, I hope they stay here. I mean these are great prices, and hopefully, it's the turn. But as I mentioned several times in my statements, we were optimistic going into the last 3 years, and it was very difficult when you create a budget, you move forward and all the while metal prices are dropping out from under you. And then you have to start stripping your budget and taking drastic actions, and that makes it very difficult. So we're taking a more conservative approach. I think it's the right approach given the volatility. Metal prices could easily come back down to where they were toward the -- in the 2015 year. It hadn't been too many weeks or months and the sentiment [ph] on gold and silver is -- it was dead. It was over. And of course, it's quite different now, but we don't want to create a budget based on these rosier precious metal numbers and then have it drop out from under us again. 
Operator: [Operator Instructions] 
Jason Reid: While we're waiting on another question, I did receive a couple of e-mail questions. So I'll go through that. These questions are from Chris Lewis [ph].
 First question, where is GORO on Alta Gracia permitting? And are those figures in your production estimates? Yes, as we -- as I mentioned in the call, those figures are not in the production estimates, and we're waiting on our blasting permit. And we're optimistic. If we can get that in the next several months, we're going to be off and running, so that's very exciting. 
 Second question is if Alta Gracia gets permitted, do you plan to start the agitated leach circuit? Obviously, that -- we hope we had that optionality, and we hope that it does. 
 His third question is, where are you on drilling out the open pit expansion? And did you see that ore being accumulated for the agitated leach circuit? We continue to look at the open pit and evaluate that. It's not going to be a lot of tonnes, but it could be some -- lower amount of tonnes at a pretty good grade. So we continue to evaluate that. That would be, hopefully, agitated leach circuit feed. Having said that, we could put it through the float circuit if we so chose. 
 Number four, since you need additional capital to potentially begin a Nevada mining unit, what plans do you have to raise this capital? Chris, I hope we have this problem, and that problem would be we do find deposits at Gold Mesa or one of our other properties. But right now, we're very much focused on Gold Mesa. It has excellent -- as I mentioned, excellent grade for potential shallow-lying open pit, and this would be open pit heap leach situation. It's going to take some time to follow up on the existing excellent drill holes to see if we can put together enough drill -- additional drill data to warrant moving forward with some sort of production decision. If and when that comes down in the future, we would probably look to raise -- sell equity to raise the capital. Money has been tight. That's no surprise. That presumably would be in a much rosier gold and silver environment, and I wouldn't want to be doing it at these levels by any means. Again, we're probably 6 months to a year to really understanding what may be here at Gold Mesa, so we have time. 
 And his fifth question was, in Nevada, what type of mining methods do you see? And what are your potential capital expenditures for these? Mining methods vary depending on what property. We have 3 properties now. We do see potential for maybe vein-type underground situations and open pit. I'm personally more focused on the open pit potential. Capital expenditures for these would be on the low side just given the fact that their shallow -- potentially shallow open pit. I don't want to throw out exact numbers. But again, I believe they'd be on the low side, and I think we can build things cheaper than anybody else. So I expect them to be quite low. 
 And the sixth question and final question by Chris was, GORO burned a lot of cash in 2015. At current precious metal prices and your capital projections, where do you see as your cash balance at year-end 2016, utilizing recent figures only? That's a great question, and it is very difficult in that you have to pick a metal price and depending on what metal price dictates this entire question. Just to give you some sense on how we see the world. We created a budget based on $1,000 gold and $14 silver just to try to breakeven. And so obviously, we're quite aways north of that. And I can't speculate on exact amounts of cash, but I presume we'd have an increase in our cash balance at the end of the year at these current metal prices. If you look at Q3 versus Q4, we held our cash balance, and that was in response, again, to the continued decline in metal prices throughout the year. And what that does, you have to readjust your budget, you're hemorrhaging cash, you have to stem that hemorrhage. We did that, and we held our cash position. And we became more efficient. Not easy, we're doing it with less people. But I wanted to make sure that we're the ones standing after the dust settles, and that's why we put $1,000 gold and $14 silver on our budget, which was tough. It was very tough. 
 That was Chris's last question. Operator, if there -- are there any more calls or questions? 
Operator: We have no phone questions this time. 
Jason Reid: Perfect. Well, with that, we will conclude the conference call. I appreciate everybody for making the time to listen. And thank you very much. Have a good day. 
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.